Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Americas Silver Corporation 2018 Q1 Earnings Conference Call. During this presentation, all participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, May 10th, 2018. And I would now like to turn the conference over to Darren Blasutti, President and CEO. Please go ahead.
Darren Blasutti: Thank you, operator. Welcome everybody. It's been a little while to done an earnings call. So I would say that this presentation will be a bit more fulsome as it's been a while since we have gone through this. I would say that there's going to be some forward-looking statements just trying to move the slides here, which I can't. I got it, okay. Forward -- so obviously really make some forward looking statements throughout this presentation. We obviously try and do our best to reflect our current views with what will happen in the future given, but given the uncertainties assumptions and other factors sometimes actual results could differ from what we think is going to happen in the future. So let's talk a little bit about who's on the call. It obviously Dareen Blasutti, I'm the President, Chief Operating Officer. We've got Warren Varga, our Chief Financial Officer; Daren Dell, our Chief Operating Officer; Peter McRae, our Chief Legal Officer and Corporate Affairs; and Shawn Wilson, our Vice President, Technical Services. Let's talk a little bit about Americas Silver today. We are dual listed on the TSX in New York Stock Exchange. We are one of the lowest costs over producers globally. We have two operating silver assets; one in the United States at the Galena Complex, and one at the Cosala Operations in Sinaloa in Mexico. And we also have a development project called San Felipe Bay in Sonora in Mexico. Our newly constructed San Rafael mine is in commercial production and ramping up. I would just remind everyone that mine was came in at about $16.3 million about 30% under budget, a tribute to our team in Mexico and our technical team here in Toronto. We expect that mine to drive significant free cash flow going forward, as we move throughout 2018 as the mine ramps up. The other thing that's done that we've done over the course of the number of years is we've got two long-term mine plants. I think when we took over the both companies I think they were producing but they didn't really have the discipline around long -term mine plants. And so not only do we have those mine plants now that are larger than 10 years at both assets. We have optionality to both silver and base metals and we can move back and forth as the metal prices change. We have a Tier 1 institutional shareholder list. We're almost to 65% to 70% institutional. We have some of the biggest shareholders in the mining industry and we are very happy to have them. We had a focus for the last year on and getting its more retail shareholders into the story, hence the New York Stock Exchange listing, which I think is very important for us. We also have broad analyst coverage. We have three Canadian analysts and three American analysts; average target price for us is around C$7 there. So we've got it-- we've got some good coverage. The stock itself we had a pretty good year last year. We've been a bit flat this year. Our market caps about US$150 million. We've got 42 million shares outstanding and 50 million fully diluted shares. So we don't have a huge share count. We did the roll back to get on the stock exchange and I think that's been a very positive move for us. Talk a little bit about the evolution for people that maybe a bit new to the story. In Q3, 2012, this management team acquired US Silver and the Galena asset at the end -- at the -- towards a tail end of 2012. Silver prices were quite high at that point, and the view was we could come in and really make some changes and increase production. Unfortunately, as we went through the end of 2012 and 2013, silver prices dropped from $35 towards $25. And instead of being able to really ramp up the plan that we had, we needed to first deal with some of the cost issues that the complex had. We did a pretty massive layoff which was very unfortunate, but it was the only thing that could be done in order to make sure that the mine could survive. And so we went very dutifully at reducing costs. We're reducing the workforce. We increased productivity and we hydrated a bit of our silver, copper, ore to kind of get through those very tough times which we thought were tough times at that time. In 2014, as prices began to fall even faster, we decided to transition from the silver, copper, ore to more the silver led production, and that was really because that we could mine very wider, much wider widths and instead of having $275 or $300 ore cost per ton, we got our cost down to about $175 per ton. While we were doing that we have an opportunity to merge with Scorpio mining. We thought it was an excellent opportunity for us. It had great expiration and production potential and that basically was the culmination at the end of the year of us getting our Mexican asset base. And so we did that transaction towards the end of the year much the same as we got there. It was the highest cost producer much like when we got into Galena in 2012, big resource base, again, high cost producer and we basically came in that's a cost roll at about $24 an ounce and silver was crusting below $20. So, again, we did it a lot of cost-cutting. We once again laid about 40% of the workforce off in order to make that happen. Results for the El Cajon mine that was just put into production by the Scorpio mining management. We closed that mine down as we didn't feel we could make enough money at it given the conditions, and we certainly didn't want to take our high-grade silver resources and mine those out at a very poor price. So we turned it down. We ended up putting some expiration money into Nuestra Senora as it was supposed to close down and we basically ended up getting another two - almost two full years out of the mine. So it was a good use of expiration dollars. And in 2016, we began to realize that we had a pretty, we had two separate types of ore bodies in our --within our complexes. We had a high-grade silver ore body with low-grade copper and we had high-grade base metals with low-grade silver. And we started to realize in order to survive this we needed to start increasing our base metal production to increase returns to get back to profitability. So we began to do that Nuestra was lead, zinc, copper silver mine, and obviously we transition to silver and copper at Galena. So we began to take that on quite seriously. We looked at San Rafael and it had a pre-feasibility on an open pits. We looked at some of the underground components and we decided to put out our own feasibility study on San Rafael. So that was the catalyst I think for the company turning the ship around and getting back to profitability. We got that financed in 2017 by our partner Glencore offtake partner, Glencore; it allowed us to start construction you know we started at the end of 2016 through 2017. Again, we constructed the San Rafael mine. We're able to reach commercial production around December 20th last year. So it's been a long ride of a declining silver price and trying to turn what we think are very big, bulky resources around into profitable mines. As you can see on the right of the schedule, we've been able to get our own sustaining cost down from about $28 to about the midpoint of the range of about $1.50 this year. And we managed to increase our silver equivalent production from 2.5 million ounces in 2012 to about 7.5 million ounces this year. So it's been a large and long undertaking, but we're starting -- finally starting to see some of the fruits of our work- our hard work. Talking about 2018 objectives, obviously, every mining company wants to achieve their production and cost guidance that's a focus for us this year especially. We've had a very big change year-over-year. We've got silver equivalent production ramping up to 60% greater than we had year before. And ramping up even farther in 2019. We've got costs down very dramatically in the company and so again those are in order --if we achieve --we believe if we achieve that production guidance, we're going to get rewarded by shareholders and by the market generally. So that's key number one obviously in order to achieve that we need to achieve full ramp up at the San Rafael mine. We're predicting that by the end of 2018. So by the third quarter this year we expect to be mining and milling at greater than 1,600 tons a day. We expect to generate free cash flow this year to -it more so the second half of the years we're spending a lot of money on drilling and capital in the first half of the year to get the mine up to speed and getting that Zone 120 stuff done. So and we've also not quite ramped up so you're expecting to see some really significant generation of free cash flow in the second half of the year. That's going to allow us to fund our silver growth and that's going to allow us to do that without equity dilution. So we're very excited about that. On Zone 120 which is the sister project I guess to San Rafael which is basically adjacent to it. As you know, we had a discovery last year in the sense that we drilled 61 meters of 412 grams and that kind of was the catalyst to drill about 12,000 meters in the first quarter of this year, almost the first quarter this year. I think the drilling stopped in early about April the 10th, but the important part of that was to drill out that resource as it looks like our next project and we're moving rapidly to try and evaluate that. So it was really get the Zone 120 drilling completed, get the June 30th resource estimate out in September of 2018, and at the same time begin to evaluate Zone 120 development options. And so those are our objectives for this year and as well. We need to make a final decision on San Felipe. We spend $8 million on the option so far. We are have another $1 million payment in July and another $6 million payment at the end of the year. We like this project. It's got great grade. We are working with [pan yoli's] on acquiring some adjacent ground. And we're hoping that we can get that done in the first half of the year. So it will help us make a proper decision on this asset. So we'll talk a little bit as we go forward. Let's talk a little bit about the first quarter. First quarter results, as you can see we've got a trend of Q1 and Q4 to Q1 and Q4, 2017 and Q1, 2018. The reason we've done the Q1 is that last year we had a different mine producing. So it's a little bit hard to compare apples to oranges, higher grade silver asset last year in Mexico lower grade base metals, but nonetheless the processing as I said we ramped up -- sorry we're ramping up San Rafael in the first quarter this year. So our tons were a little bit lower. Our silver production was a little bit lower as a result of the greatest San Rafael. I think we've Daren Dell will talk about this in his presentation, but as I've been telling people were basically mining at about 40% of our reserve grade based on the area the mine we are in on a silver production basis. So we're going to see that silver rise as we move forward towards the end of the year and into next year back towards reserve grade. So we'll see silver coming up over the course of the year. Our silver equivalent production was up 46% from a year ago and 20% from the fourth quarter. Again, seeing that as the mine came into commercial production and continuing to rise. And we expect to see silver equivalent production rise again in the second quarter into and kind of peak in the third and fourth quarter for this year. Obviously, cash costs it was very successful, were down 130% rate negative $2.70. We're below our guidance but again we're still ramping up and we expect to get to negative $5 to $10 an ounce on our cash costs. On sustaining costs, very healthy 55% reduction from both Q1 and Q4 last year. And again as the mine ramps up capital and expiration come off a little bit. I think you're going to see that those costs continue to drop. And again, we expected to be negative in the second half of the year. Zinc production up 207% or 50% so obviously that's the new mine coming on and led up a little bit as well, again lead will again come up as Galena has moves throughout the year this year. So we had a material increase in our silver equivalent production. We've had significant reduction in our cash costs and we're clearly on track to achieve our 2018 production and cost guidance. So we're very happy to be reaffirming that at this point of the year. On the financial highlights. You could see revenue increasing up almost $8 million from the quarter before $5 million from last year at this time. We've got operating cash of 3.7 for last year Nuestra Senora which is the old mine in Mexico was basically running at its highest grades. And we didn't have to put very much capital into it. So we are actually getting some pretty spectacular operating cash flow in Q1 last year. So, again, our operating cash flow for Q2, Q3 and Q4 we expect that to rise over the course of the year subject to pricing staying where it is. EBITDA again growth of EBITDA and obviously net income. Net income was affected because we did make a decision as we told you that we were going to spend drill 12,000 meters basically almost all of our drilling at Zone 120, it was going to be done in the first quarter in order to get those assay results. So Daren and Shawn and James in Mexico can get that resource updated and get working on how we're going to attack it and get it developed and looking at different options. So we want to spend the money so last year I think we spent a couple hundred thousand dollars in the first quarter this year, its $1.2 million. So we had chose not to do that obviously net income would be much, much higher over $2 million, but I think it was a good decision on behalf of the company, and all of that of --those dollars obviously were expensed into the right through the income statement. Realized prices really on silver and lead have changed very much. We obviously saw higher prices for lead and zinc in the first quarter than we currently have today. But again we're pretty bullish on those -- on both lead and zinc going forward for the next couple of years. I don't think we expect them to drop more I think we still have an expectation that they're going to rise beyond where they are today. So we did obviously get a much better zinc price and obviously that drove a lot of the performance in the first quarter as zinc production came up. Again, I'm excited to see zinc production continue to rise over the next couple of quarters. I think the cash balance is something we want to talk about obviously it dropped about $6 million quarter-over-quarter. A lot of that is really just a payment that was missed due to the Mexican holidays around Easter. We had almost $4 million payment for Glencore that was supposed to come in on April 30th it ended up coming in on the 1st of -- on March 31st I say ended up coming in on April. The first or late in the night- early of the night of April the 2nd instead. So obviously cash balance looks a little bit lower, but you've got a lot of development, CapEx you've had all that exploration spending. We repaid debt and we made an option payment on San Felipe. So really it's --and you've also seen working capital come down a bit as some of that the long-term debt is processed into shorter term debt as we continue to pay the -- take loan from Tech as we deliver terms on it with every shipment. So we're not concerned about the cash balance. We know it's going to grow pretty dramatically in the third and fourth quarter. So you know we're working forward through that, but I don't think it should be an area of concern for shareholders and it's certainly not for management at this point. I'm going to turn it over to Mr. Dell to talk about the operations and how they're going because I think everybody wants to get an update on how San Rafael is doing and how we're making out at Galena. So Mr. Dell?
Daren Dell: Thanks Dareen. I'll go through this very quickly. At San Rafael the mine is doing quite well. We're producing over 1,700 tons a today of ore right now. We've got approximately 630 meters of ramp development left to get down to the bottom of the main zone. We expect to be there by the end of the year moving upward toward the upper zone. We've started that incline and we'll be moving forward with that as a priority. So that we can get that higher grade silver production contributing to our results by mid- 2019. Over in the mill throughputs now over 1,600 tons a day. We've got room to grow there. Grinding circuits fine, we still work through some of the challenges that come with a new ore on the flotation side of things. And our concentrate grades for the zinc and lead, as well as our metal recoveries are coming closer to our internal targets. So it's not a disappointment by any way by any means. And we've got room to improve and the guys are doing a great job finding additional success. As a new mine, we are going with certain assumptions and for the operating cost we see benefits there both in the mine and then the mill. Productivity in the mines coming up, electricity comes, consumptions are down, on reagent usage is down in the mill. So we're seeing a number of benefits that are right away. As far as capital saving costs goes, we are finding some benefits there particularly with capital development costs as we find benefits in our mining activities. We've also brought in some of the major maintenance in-house as well. Talking just for a moment about grades that we're seeing. It's still early days but I'm comfortable saying that the geologic model is performing acceptably. So it where were you expect to find ore we find ore in fact we're finding some fringe material that we're bringing in floor, it's often it's slightly lower grade but it's still paying the bills and it's contributing to the bottom line. And then as everybody knows I hope zinc is what we find in the main zone that's the big metal there. Silver becomes a more important metal in the upper zone. So when people ask about where grades headed and what's going to happen, we just please keep in mind that's how that's what Mother Nature gave us, and that's what we're working with. Right next door over at Zone 120 where Dareen mentioned we're doing exploration work. Drilling was done at the beginning of April. We expect to have assays by the end of May. We'll be updating the resource as part of our company-wide mid-year resource update. And we expect to take that information and move forward with considering a number of different development options. We've got some interesting ideas; obviously, we're going to look for something that is cheap, easy and quick. We don't always find that quick easily or cheaply. So now we've got some work there and we hope to have some further news on that later in the year.
Darren Blasutti: Daren I just add one of the things that's not on the slides that excites us and obviously we have Zone 120 and its right beside adjacent infrastructure. So we're excited about that. It's growing but we have 19,000 contiguous hectares in Mexico with a few obviously a few other landowners its burst in and out of there. But we have 40 old mines that were very brief mines as a result of the war effort by finding stuff and service. We've got outcroppings and showings all over the place and really for us we haven't really had the money or the time to unlock some of that potential. So Zone 120 was our really first project. James and his group in Mexico did a great job of servicing where we could find some results. We brought in a third party called Western Mining Services out of Denver to kind of help us start prioritizing targets as the cash flow grows towards the end of the year and next year we want to be able to take advantage of that because we think we've got a property that really has potential for additional discoveries. I don't think anybody believes we're going to find a 50 million ton ore body just the way it is but there's a lot of hope for you know 10-5 million ton of ore bodies or 5, 10 million ton ore body. So we've got ground there, it's not just Zone 120. We just don't have -- we just haven't had the balance sheet or the time or the personnel to kind of really be able to go out of full-time. I think as Zone 120 moves through its progression I think you're going to start to see us look at a lot of those targets that later in the year and next year, sorry Daren but -- .
Daren Dell: Yes. Some people in the company are very excited about the exploration potential. Moving on to Galena. We are making progress toward our goal of consistent performance and delivering into expectations. So I keep preaching what we want to Galena is steady, boring and predictable production. I think that would be a fantastic thing to achieve there in the coming year. Operating costs and capital costs there are coming in where we would expect them to, and we continue to make modest capital investments, where they're required and just overall we're making some good progress with some of the new things that we're trying. We have had some good initial success with long haul mining, so keeping in mind that this isn't going to be something that takes over the entire operation, but we're going at it without a limited scale just so we can learn how to deal with the relatively narrow widths, relatively narrow width compared to some other mines perhaps. And with some of the geotechnical limitations that we need to be very aware of. We continued in part of it and tied in with that long haul mining is our continued shift toward more mechanized mining with more productive mining that let's get more muck out for a lower cost. And then we also are doing a good job seeing new mining areas emerging. So the upper country-led zone by that we usually refer to the 3,400 and 3,200 levels. Those are coming on quite nicely and then and more recently when we alluded to it in the recent press release, we're seeing some good exploration success around the 360, 366 foot wall area on the 4,900 level. That's another zone of silver lead mineralization. We continue to work on them on the mine plan to give us some more structure and how we organize ourselves going forward. And as we get ourselves set up properly from a planning point of view that will give us the referring to management and the board, it will give us more confidence and going forward in making the decisions we need on where to invest in Galena for the further success in the future. It's always important to remember that Galena does have a large resource base right now with low levels; with low footage of drilling we are able to replace or grow our resources every year. And I think it just that all points toward the fantastic potential we've got on our property in Idaho.
Darren Blasutti: Thanks Daren, Flipping over to talk a little bit about our strategy and what we what we have done. I mean if you look at our resource space, we have in all categories so we do have 28 million ounces of silver, around 58 million ounces of measured and indicated resources, but in total about 123 million ounces of silver. We have another 700 million pounds of zinc in all three categories and then a billion pounds of lead. So if you wonder why have we switched over to silver? From silver to more base metals because at one point Galena was around 85% silver. And again it can we can go back to that but right now when you look at the chart in front of you see silver prices down almost 50%; zinc prices up 60% and lead up 13%. So as you look at that chart you say to yourself, okay, so basically what we've done is management has made a decision to go and take what I call optional asset base to be able to produce less silver or more silver and move it more towards the base metal side. So we've had silver production come down about 18% since 2012 but you've had zinc go from zero to 40 million pounds this year. You've seemed lead go from 5.3 million pounds to 30 to 35 this year. So again massive increases in our base metal production that's what's driving down costs; that's what's driving profitability for the company as we go forward. That's going to allow us to generate cash on the balance sheet so we can tackle projects like Zone 120 which are basically very 80% silver and do that without having to raise money, without being at the whims of the capital markets. We can go and drive production growth on the silver side. The thing I would note is if we actually get a return to silver prices, we can bring on some of the silver, copper scopes at Galena. We have 1,500 tons of capacity right now. We're using about 700 tons a day on the lead side. And we've got a 500 ton a day mill sitting there that could be doing copper. So we look and say we need to see better prices; we don't want to be producing our reserves; and our resources to make very little money; so right now what you're seeing is a very big spread between the silver price and what we can produce silver add on a byproduct or on a silver cash cost basis. And that is silver that's worth generating. But to go out and generate another million or bring on a couple million ounces at Zone 120 perhaps in the future. We need to see good prices and otherwise when you think about the cost or the amount of time it takes to discover, to permit, to build and then to operate to make a $1 or $2 an ounce because silver is at $16. We don't believe that's a great strategy because those companies that are doing that today have to go out and find more resources and reserves in the future that means buying company or issuing equity. So that we don't believe that's our strategy. Our strategy has been move our production from very silver to more base metals and then be ready for the silver price to come back, so that we can bring on that silver production and you see that happening as I said Mr. Dell will be looking at ways to bring on Zone 120 quickly and cheaply. And we have a new resource and that's something that we had not even was just a glimmer on eye last year we're already talking about how we're going to develop it. So we're excited about that and we've got the resources to do it. And we're going to have the resources to drill our properties. And so that's why we did what we've done. I think the strategy makes sense. We want to see silver go to five million ounces that's always been our goal. But you need to have five million ounces of profitable production not just five million ounces of production. I think that's the key for us as we move forward. Let's talk a little bit about where we are on a leverage perspective. So on chart 13, we show a number of our Mexican competitors our Canadian companies that have Mexican assets. Obviously, we have a US asset thrown in there as well. And you look at our reserves and you look at our reserves and our resources in total which reserves are included in. You can see that we have a very big reserve base you know Fortuna, Endeavor are much bigger companies than we are. Avino, Great Panther and Excellon don't have reserves but they mine from mentioned indicated. And they have much smaller asset bases. So when we look there and say, okay, we've got a big asset base and that shows the very right side of the chart if you look invested money in us, you would get the best resource leveraged on the silver side. There's no zinc, there's no lead, just silver on this included in these charts. And then our production side you see it's middle of the pack but still better than three of our competitors. And we're basically pulling back our highest grade silver. So as silver comes back our production per share is going to dramatic --if you invest in us our production is going to go up, our production per share is going to go up. But the strategy has been to throttle back on that to make it more economic. We're the lowest cost silver producer of this group and probably in the world. And that's what we want to deliver for our shareholders, low-cost optionality and profitability. And again we want to be able to conserve our best and a highest grade silver for when silver goes to a place that we think it will go. Again will it go immediately, I don't think, so I think we're going to see silver --but I think in a year, year and half I think you're going to see silver moving quite spectacular and we're going to be ready to take advantage of that. Why invest in Americas Silver. Well the team on the phone today has been around for the last five or six years working through this. We produced our own sustaining costs by 90 some percent. We're growing our silver equivalent production up 60% this year, but over the last five years it's been a pretty spectacular growth profile of silver equivalent production. San Rafael is ramping up to full production by Q3, 2018. That's going to drive higher free cash flow, greater earnings, greater operating cash flow et cetera. We're going to improve our silver production as we move forward. As again our balance sheet improves we've got high-grade projects like Zone 120 that we believe can make good money even in this silver price environment. So we're going to move forward with that. We've got our leading resource leverage on a resource side. Our assets are 100% owned. They are long life; they have large defined and develop; they are very large, they're defined and a lot of the resources are fully permitted, the mills got access mill capacity, excess hoisting capacity. We've got 4,000 tons at the [Indiscernible] mill in Mexico. We're only producing 1,800 tons a day that can be expanded. We've got no royalties no streams and we don't hedge silver. Our balance sheet is strengthening and we believe we're going to be revalued our silver peer group as San Rafael delivers what we expect to deliver over the coming months. So with that operator I will turn it over to any questions we may have from people on the phone or on the internet.
Operator: [Operator Instructions] Our first question comes from the line of Jake Sekelsky. Your line is open. Please go ahead.
Jake Sekelsky: Good morning, guys. Thanks for taking my questions. It looks like you're making good progress on I think San Rafael. Can you just walk me through the remaining development work and maybe the cost associated with reaching the main zone? I'm just trying to get a handle on quarterly capital spend there over the next few quarters?
Daren Dell: Okay, well as I mentioned we've got about, this is Daren, one r Daren. We've got approximately 630 meters of decline left to get to the bottom. Our development cost is I'll see how much I can call it $1,400 a foot -- a meter sorry, $1,400 a meter. That's probably a reasonable number to use. And that will give you a rough cost of what the main ramp will cost to get there. Of course then there's a lateral development that's involved also. So it's not like we're going to be producing like 10 men in a kayak right off the bat, it'll take us little while to ramp up, but we do have the self lobe that we continue to mine and that we continue to produce from.
Jake Sekelsky: Got it and just switching over to Zone 120. How many meters are left to be drilled there? And it sounds like the cutoff date for the resources is June 30, is that correct?
Daren Dell: So, yes, the June 30th cutoff date is correct. We're not planning any more drilling in right now. So we think that we've got enough done until we can digest the information that we have. And see what might be required just to firm things up further.
Darren Blasutti: Yes. So we've got about -- I think seven holes there left to put out. So we've got --we finished April 12 I think our last April press release was kind of towards at the end of April. So we've got another one to come out just with the remaining results and then again the team needs to basically get those into the model and get them get it started on the new resource. And but at the same time we're going to obviously try and get some work done and what we can do from what I'd call a cheap perspective using our existing infrastructure, using our existing mill is there way we can find to be able to bring on a low-cost option for this asset versus building a new mill for example. And so we're going to get started on some of that stuff even as the resources being quantified so.
Jake Sekelsky: Perfect and then lastly I mean this is more of a what-if question but Dareen you mentioned earlier that you know silver prices move a bit higher, you can bring on some silver slopes at Galena. How quickly do you guys think that can be done if we saw a quick run up in silver prices?
Darren Blasutti: I have my answer but I'll refer to the experts. So we'll see how close our answers match. I'll say six months before we could get some appreciable copper, silver copper production on line. The CEO would have probably said three or four months. I would say the biggest issues you've got to hire people right. You've got to hire them, you got to get them trained although the stokes were left in pretty good shape you got, I mean one of the things that we learn from the mine before is that I think they have haphazardly stumbled into a lot of areas very quickly to try and increase production. I think we want to do it the right way. So again I think my view would be getting there quick. I think Daren's view has always been let's get in there take our time get it done right the first time. Difference between the chief marketing officer and the chief operating officer so the answer would be somewhere between three and six months.
Jake Sekelsky: Well three, six months both pretty short period of time. So let's hope--
Daren Dell: And you're not talking about a lot of capital. It's not a capital intensive thing, it's more hiring people.
Operator: Our next question comes from the line of Heiko Ihle. Your line is open. Please go ahead.
Heiko Ihle: Hey, guys. I agree with you earlier comments by the way that the US listing is quite important. I mean we now see more volume in the US than we do on the TSX, so, yes nice call and absolutely correct. Your overall spending costs for the quarter were $6.17 an ounce; it was just pretty damn amazing if you look at $13 plus for the full year 2017. And I understand that those periods are not comparable but I mean from a 20,000 foot view can you just walk me through the changes and in also the dollar impacts from certain changes that you sort of had by line item that came through in the quarter to come in where we.
Darren Blasutti: Okay. So let's go back and compare previous years. Like if you go back to the fourth quarter Heiko, we had a lot of like pre-production capital. So we got it --we get the tons but we don't get the associated costs that come with it. But I think and so that obviously was a bit of an issue. I think the other thing you saw last year is that we for example we didn't expect Nuestra Senora to be able to operate right till the end basically of the startup of the new mine. We expected it was going to Peter out mining in the first quarter and then have some more order process in the second quarter. So we went in, we spent some development capital to have that El Cajon transitional ore. So we mined a bunch of that and then we realized we didn't need it. So we throttle back on it, but then we have to figure out what we are going to do, we're going to process it or not because it's going to be sitting there for if we don't build any more mill capacity six or seven years oxidizing on the ground. So we made a decision to process that as opposed to processing Nuestra Senora which is worth more money. And then we sit here now with a thousand ton stockpile from Nuestra Senora and a 20,000 ton stockpile from San Rafael. All of those kind of produced out of the labors of cost last year. So when you look at the cost last year there were a lot of things going on three different mines trying to be run at the same time. So and again you also had a bit of a hiccup at Galena right at the beginning of the year that we just couldn't catch up on. So as you know, we had forecast some lower cost last year. We make --we had some things happen but we also made some decisions that affected those cash costs because our view was everybody's investing in this company for what we can do in 2018 and beyond. So I would say that we could have got our cost lower last year if that would have been a focus. I think the focus was to do the right stuff, get it into the right place. It allowed us to build up a stockpile on San Raphael that allow --that we actually drove down on a little bit in February and then basically a put back up to the peak stockpile back to where it is. So that's the first part when you want to look at last year. And then this year. We used a lot of costs in the pre feasibility study. And I think Daren and his team and James in Mexico have been able to do better than that quite frankly. They, again, he talked about $1,400 tons per meter we were using $2,100 tons right now --sorry $1,400 per meter versus $2,100 in the pre feasibility study. Now we're not declaring victory on that. It's only one quarter just like we're not declaring victory on grade. We've got -- this is a brand-new mine where we've never mined before. We're going into a new area. We started with the southern lobe, now we're in the main zone we have in mined that before. So again our view is where every month and every week we're decreasing the risk of this new mine right. We're understanding it better. We're finding ways to do things better. It comes with some negative surprises sometimes and so what I would say is that the wrap-up of the new mine we've done at a lower cost than I think we expected. We obviously got better prices in the quarter than we had put in our budgets so that again that helped. I think we were expecting about $8 all in Warren I believe. And so we came in at $6.18 that's great. And there's a bunch of pluses and minuses there. I think grade has been a little slower ramping up than we'd like. And we're addressing that issue I think we found a lot more material around areas in which our serve was defined in that in the early days we were taking some of that material because it was easy and it was fast. But that dilutes your grade a little bit. So we're working through the challenges of a new ore body and a new mining method quite frankly. And I think the guys are performing exceptionally and so we've seen good growth, but again for us to declare -- to me to declare victory on this thing and what we think it could be is really when we get into the main zone we start to see what comes out in the third and fourth --the end of the third and fourth quarter because that's where we're expecting our higher grade zinc, that's we're expecting our silver tar to start to come up. So again so I can't quantify dollars free I mean I think Warren could do that after the call. But my sense is we've done things better. We probably, I was expecting almost $7 million of exploration capital in the first quarter. We got that to $5.6 million. And that's not all deferral, that's doing the exploration program better, that's showing a lower cost development, that's some meters in the development plan that turned into ore as we got there because this is a pretty disseminated ore body and sometimes what you think is going to be a 100 meters of development turns out to be 60 meters of development, 40 meter ore. So we're seeing some upside but we're also doing I think a very good job of containing cost there. So going forward we're not adjusting our capital. We're not adjusting our operating costs because we just don't have enough experience. We're only really four months into the four or five months into mine. So again I think we want to get more comfortable that what we've seen and the upside surprise is that or the upside surprises or the hard work we're doing is going to continue to last more than one quarter.
Heiko Ihle: Okay, building on the last question a little bit and I mean you're saying the mine is becoming better and I guess more visible by the day. Your outlook for all in sustaining costs or negative $1 to $4 per ounce for the year. So quite a bit lower than where we are right now. I mean let's keep by-products constant for the moment just keeping the way they are can you still a lot philosophically walk me through 2019, 2020 and beyond I mean internally what do you think we could see? What's the earnings power of the mine? What's the production power of the mine? Just philosophically.
Darren Blasutti: Yes, well and again we mined 1350 tons roughly in the first quarter. We're going to 1,600 tons and then we're going to go -- we're going to try and get as high as we can. I would say that we think 1,700 tons is attainable. We can definitely mine that much. The question is can we mill that much? And so those are all things that we're working through when we get there. But what you've got I think we're at about 40% of the silver grade high, hike over about 75% of the 80% of the lead and zinc grades right now of the reserve. So as you move forward and you transition into main zone, I think you're going to see your lead and zinc grades come up a bit. And then as we get into the silver zone they come up a lot. Shawn I can't remember what's the greater the upper zone?
Shawn Wilson: The grade at over 200 grams per ton.
Darren Blasutti: Right. So we are mining 40 grams today. We're going to move into an area that's probably more 60 grams as we get into the main area. And then you're going to add some tons from that very high grade. So I think as we ramp up we think about 40 or 50 grams this year around 80 as an average in 2019. And then you're talking about something well over reserved grade in 2020 like over 100 grams. So you're going to see the silver side of this deposit grow from kind of 300,000 or 400,000 or so ounces closer to a million as we had predicted in our pre-feasibility. So that's is I think 2018, 2019, 2020 that's where your silver grades are going and that's you've also got full production coming and your zinc and lead grades coming up. And that's what's driving your cost down in the second half of the year. I would expect that we're going to be about $5 to $6 for the first half of the year and we hope to be in the negatives in the second half of the year as we get the full production for this year. And we expect the numbers that we're getting in the third and fourth quarter to be in to 2019 and 2020 because once we get fully developed into the main zone, and fully developed into the upper zone capital starts to drop off kind of mid 2019. So all of those things are contributing to a much better 2019 and 2020 than we're going to have in 2018.
Operator: Our next question comes from the line of Jamie Spratt. Your line is open. Please go ahead.
Jamie Spratt: Good morning, guys. Thanks for taking my questions. So just a few quick ones here. I guess to start just on zinc and lead recoveries at San Rafael I guess the question is are you where you want to be? I know you're not quite at sort of budget levels? Are you where you are sort of expected to be and then secondly when would you expect to or hope to get the budgeted levels? It's just an end-of-year thing or is it sooner?
Daren Dell: Well if I had a choice I'd be there already, but given that we're 80% or so on the zinc recovery, we're in the low 70s on the lead recovery, we're very close to the numbers that were used in the pre feasibility study. So that's why I'm not overly disappointed right now. We have room for improvement but all the low-hanging fruit has been picked I think. And so that last sort a bit going to take a while for us to work through. So to give you a firm date on when we're going to be satisfied, I can confidently say that we'll never be satisfied and we'll always be looking to make things better.
Darren Blasutti: Okay, so I'd say you know we're we averaged 80% I think in the first zinc recovery in the first quarter. 85% I think is our target the goal, but we're doing it we're at 80% of the grade of the zinc grade right in the reserve. So again obviously what grade you put into the mill drives your recovery. So as we see that main zone ore coming up I think we've had some interesting challenges we get into a certain area has higher iron, we got a change now, we're blending so I think we're going through the process of learning this new ore body right and so lead I think we had almost from day one. We've done a good job to get it above where the pre fees are. Zinc we've had to work a lot harder at but you if you look at the grade and our recoveries we are about bang-on for that grade in that recovery. So again Mr. Dell is a metallurgist so he's never going to be happy with the mill. I've learned that so far this year. So again I think again we just want to get to all parts of the deposit understand what the grades are going to be, get them into the mill and see what we can do with them, and we've -- as you know when we started the mine we had challenges with ground conditions, and we worked our way through them and managed to come in under budget. So again the process for us is to just to continue to work. We're not afraid to bring in consultants. We're not afraid to bring in the right people to help us. We've got a great partner in Glencore. So I think all the things are going to be achieved. And again I'm hoping by the time we ramp up to full production that we were 95% of the way there be by the end of the second quarter. And so hopefully that helps.
Jamie Spratt: Absolutely, and that's it's on Zone 120. So looking at this we've got critical mass here. I mean we've got a deposit that looks likely to be economic. So how should we think about timing on this? So we're going to -you're going to put a resource out like are we going to get an economic study kind of by the end of the year or how should we think about that?
Darren Blasutti: So I think you're going to get the resource in September prior to the silver shows. I think you may get a very low-level scoping study from us and what we can do very quickly and dirty. From the sense of what we can use from our own equipment, but the deposits probably better than that. And so we're going to have to do some real feasibilities level work, and I think that we'll get started late in the fourth quarter. It won't be- I don't think it will be ready by the end of the year, but what I'd like to do is I'd like to be able to say from our existing infrastructure, we can get into this ore body for X amount of dollars. What can we do with our mill? As you know Jamie you were there. It's got erupt in second circuit, it's got a ball mill sitting there, what can we do with that, how big can that be, some of those things are within our control today. But the deposit may turn out to be much bigger than with that little bit of work can do. So we want to be able to come out with that at some point in the fourth quarter, and then we want to be able to be working on bigger study that's a little bit more detailed and we feel more comfortable about. So I would say first quarter next year.
Jamie Spratt: Okay, good. And then just the last question just on Galena. So we've been operating without a CBA. I'm reading here you've made the final offer back in December I mean do you continue to operate obviously continue to operate without that? I mean is this a concern for you guys can you just give us some commentary on that?
Darren Blasutti: Yes I'll start it. I'll ask Peter McRae if he has anything to add but so we went through a process we have a very good working relationship we think with our union. And like all in negotiations we want to pay less and they want to get more. I think we worked in good faith from kind of July till December. And we realized that there's just so much you can give and when we put what we believe was our best offer on the table. And it was narrowly I think that when it was voted on it was narrowly voted down the second time, but we just didn't have what we did know was that people don't want to go on strike, they want to be working, but I would call it apathy there was not as much interest in people going to the meetings and going to vote, we didn't great, great turnout and so our view was listen. We've got -- if we're going to --if these guys --if we're going to do life in mine plant to start investing real money into Galena. And the money that we're investing this year almost $6 million. We need to have something in place in order to for us to feel comfortable that we should be spending that money. And so we basically the Union wanted to kind of keep negotiating, we said there's no other --that we have nothing else to give you. This is our offer. They refuse to take it to another vote. So we basically imposed our contract. And by imposing our contract they're getting paid 10% more than they were getting paid before they're paying some deductibles on medical, in some cases now or they've opted it into a higher cost plan. So they've done all the things that have to be done. They had a vote on whether to strike as opposed to our are imposing the contract and it was unanimously rejected. So are we in a comfortable position that we feel great? We know we have a three-year or five-year agreement ahead of us, no. We'd like to have had that in order for surety of capital investment, but we have a workforce that does not want to be on strike that wants to work. I think there's just a disconnect between I think what the people in the mine want and perhaps what the Union would like us to do. And so we did what we had to do in order to invest our capital, but as I said everybody is very happy now that they're getting paid more money. And we certainly don't have any people that are upset that we've imposed the contract. So that's where we sit. Peter any another views on that?
Peter McRae: No. I think the only thing I add to that I think the only -- the response to the authorization the stretch we take obviously some comfort in, it's not as certain as a ratified agreement as Dareen mentioned, but it does allow us to operate under a defined terms of the contract as we put it to the workforce. So it obviously gives some measure of comfort.
Darren Blasutti: Yes. And there's been a lot of changes Jamie I mean in this contract not only there was a 10% increase there's some more some payment by the workforce for some of the medical because we said basically fund a 100% of it without getting anything from the workforce. There's no more silver price bonus. It's more --we've added more to the profit share and all in sustaining cost basis. So there are things that we think are much, much more important for the mine to be able to make money. A silver price bonus between 1850 and 2150 prices go up you pay more but you're not necessarily making money. So it's now when those prices go up and we make money that employees make money. And so we think that's alignment that we want and that's the kind of stuff where I think the contract is something that we obviously thought we needed, and I think we've got workforce happiness right now.
Jamie Spratt: Great, that's all I've got guys, appreciate that.
Darren Blasutti: Thanks. By the way I think that question also answered one of the questions on our internet feedback which was the update so I hope that did it for John who've asked that question. Operator, I think we have time for a question or two.
Operator: Our next question comes from the line of Bhakti Pavani. Your line is open. Please go ahead.
Bhakti Pavani: Good morning, guys. Just a quick question on San Rafael you know you guys are mining at about 1,700 tons per day and I believe historically you have said that you would be processing 140,000 tons a quarter. So given the mining rate of 1,700 tons per day is it safe to model appropriate production in line with that? Or do you still expect to process 140,000 tons per quarter?
Darren Blasutti: What are 140,000 tons a quarter and tons per day?
Bhakti Pavani: About 15
Darren Blasutti: 1560 yes, roughly. Yes, that seems about right Bhakti. I mean obviously so I think we're going to try and do better than that but I think that's what you should model for now because we haven't again -- we're up at 1,600 tons today, 1,630 or 1,650 today and we're going to obviously try and get to 1,700 and then if we get there then we want to move it beyond that if we can. So but I think it's safe for you to be modeling I think that number.
Bhakti Pavani: Okay, with regards to mining costs per ton I believe in Q1 the mining cost per ton were around $44 and I think that I was modeling around $40 a ton is that sort of I mean is $40 a good number to model or do you think Q1 is more representative of remaining quarters?
Darren Blasutti: So I think in the pre fees we were at about $50 a ton roughly, $50 to-$54. We did $44 and obviously Bhakti we are not ramped up to full production at least on the milling side, but on the mining side I think the second quarter number which will be around I think that's around $42 to $44 will tell us because we'll be mining at kind of 1,700 tons a day right so at the mine. So I would say that $44 was slightly higher given that we did less tonnage, and as we ramp up I think hopefully we continue to see the savings that we hope to see. So our budget was $44 across -- sorry our budget was $50 this year, we did $44 in the first quarter and that was expected and I think we're going to see that come down a bit. So I'm not sure we're at $40 yet I think is the answer.
Bhakti Pavani: Okay switching over to Galena, you said there is a potential to bring silver copper stoke introduction if the silver prices move pretty quickly. Just wanted to understand once you have that so the copper stoke in production how do you see a production cost going down or is there any room for mining cost to go down in the near future?
Darren Blasutti: Well again we would say this I mean I think that you know because we're using two different mills, took two mines to put silver and copper through. So you're not going to see traditional savings if it was going into one mill right. So you won't see a lot -- I don't think Daren you'll see a lot of savings in the milling side.
Daren Dell: On a cost per ton basis. No, I don't think so.
Darren Blasutti: No, but you'll have some -- the effect of having our G&A reflected over more ounces and tons and then on a mining side you've got to hire more miners. I mean our view would be that silver lettuce is profitable today. It's going to be even more profitable if silver goes up. So I don't think you're going to see us leaving our silver lead areas maybe there'll be some areas in the upper part of the zone, which are more conventional and we may move those people over but we're going to have to hire new people and then the real -- the timing is timing is hiring and training. And so again I think what you're going to see is a blended cost. I can't say today what we're driving for at Galena is by 2020 to get into that kind of $12 or $14 all in sustaining costs or maybe lower and that's going to be from silver lead. We haven't quite done the work yet on the silver copper stokes but we don't want if the costs are going to go up, we're going to need a pretty big move in the silver price. So it's got to be at least the same all in sustaining cost for us back to you to be able to bring it on right. There is mo point bringing on more silver production taking all your costs up right.
Bhakti Pavani: Got it. And just quickly on comparing, I mean Zone 120 and San Felipe are completely different deposits, but let's say the silver price remains at the existing levels what would be your preference? Would you still want to go ahead and develop Zone 120 or do you think you would rather switch to San Felipe and try to bring that one online?
Darren Blasutti: Well I mean again I think Zone 120 is clearly the next where we're spending our time going next. San Felipe I think is a project which we as I said we want to tie the land position together. We want to do a new study that's going to be taking considerably longer. So again my sense is if you looked at development time I think our efforts will be put in a Zone 120 next given it's going to be the cheapest possible option for us, given our mills is got 4,000 ton a day permit and only doing 1,800 tons a day, and we've got two portals one at El Cajon and one at San Rafael that we could drift from so we don't have any permitting requirements. And we don't have any -and we have much lower capital. So from our perspective that Zone 120 will be first and then I think San Felipe will be secondary in the pipeline. I think there's one more question, operator, if we have time.
Operator: Our final question comes from the line of Barry Allan. Your line is open. Please go ahead.
Barry Allan: Yes, good morning, gentlemen. Make it fairly quick. Dareen you had quite a jump in receivables in the quarter. I think you mentioned that's a Glencore check that missed the quarter. Did something happen unusually in the quarter for of that amount of money to kind of lag on like that? Or is it just something new that you and Glencore are getting used to?
Darren Blasutti: No, it is one answering Barry. So yes the payment was simply delayed because in the last week of March there's the --I think it's called a Semana Santa in Mexico. We originally heard that from Glencore that they're shutting down receiving in Manzanillo but we were able to this you know --then them being a great partner for us. They were able to keep them receiving concentrate during that week. We also arranged for them to do a payment to us of that week forward to --of course for the receivable. It was started in Mexico but and it just did not hit our bank account because of both the Semana Santa as well as that Easter weekend. So it's unfortunate it happened but it did happen and it was received subsequently. So and it's just generally on receivable like we are shipping more material that as a result of the --and more concentrated to the are off taker in Mexico. So you know you will see a heightened level of receivables generally but this was a bit unique this quarter. And we should see a drop down at least by the amount roughly of that payment next quarter.
Barry Allan: Okay, fair enough.
Darren Blasutti: As long as there is not another Easter weekend --
Barry Allan: Good, okay. So I've been a bit unusual but you will still have high receivables going forward. Then as well I think I did hear some enthusiasm on expiration for the region and note that in the quarter you spent about a $1.8 on expiration is that the kind of tenor of excitement that we should expect going forward?
Darren Blasutti: No. I mean I think we --Barry we had put a $ 3 million budget together for Zone 120 that really was the focus of getting it done within the first month -- first quarter in a bit. Again we finished most of that drilling by the 10th or 12th of April. You saw $1.8 million go through. I think the total cost is probably going to be around $2.5 million to $2.7 million by the time we get all the assays back and everything done. I don't think you're going to see a lot of drilling happening beyond that in the second quarter. I think we need to step back with the help of Mr. Davidson, our Chairman who has a bit of experience in expiration. We did a very --we basically drilled the crap out of it quickly. And now we need to step back and understand where we're going to do our next drilling. So the first thing is get the results, understand what we do and don't have, figure out where it's still open, figure out where we can still go. And then do that kind of in it towards the end of the rainy season in October, start up some drilling, and I think on the overall expiration program which is the exciting part of the rest of the acreage, we're making sure that we're getting all our geo tech work done. I mean there were some gaps that geochemist should say that that Western mining services identified for us. And before we go out and start drilling targets that we like we just want to make sure that we have a fulsome picture of the whole project. So I think we had put -- we have earmarked a $1 million for the non Zone 120 expiration in Mexico. I think a lot of that is going to be taken up by getting ready to drill in 2019.
Barry Allan: Okay, fair enough, yes. And then just finally, you spent about $3.5 on property plant equipment in the quarter. And I did hear Mr. Dell say that there's going to be some more development of the ramp, but that will come to an end. So where will that number kind of end up that on started sustaining kind of level would be in the $ 3 million range on quarterly basis?
Darren Blasutti: I think we kind of go we're at about supposed to be at $12 million this year. I think we want to see that number go once we get through the upper zone in mid- 2019 kind of more $8 million or $10 million for the year.
Darren Blasutti: Well, listen thanks everybody for attending. It was a much longer call than I anticipated. But we did - it was our first for us from a long time. We want to take people through what we've done in the strategy. I think we're very excited about the continued ramp up of the new mine. We're excited that Galena is starting to show signs of improvement. We want to be able to be very profitable company. And we want to be able to go out and explore our property because we think that's the greatest way to create value for shareholders by bringing on increased production from your own properties within cash flow. And that's our strategy right now. And I think we want to execute that. So we're excited to have the first quarter behind us. We expect better quarters going forward. And we'll talk to you soon. And thank you for your patience and for continuing to believe in the story. Operator?
Operator: Thank you very much. Ladies and gentlemen, that does conclude our conference call for today. We thank you all for your participation. And ask that you please disconnect your lines.